Kurt Levens: Good evening, and welcome to the fourth quarter 2025 presentation. My name is Kurt Levens. I'm the CEO of REC Silicon, and I'm joined by Jack Yun, our CFO. Today, we're going to go through the usual highlights and updates, financial review and then spend some time on strategic development and recent financing activities, followed by a summary of the high points of the quarter. Our EBITDA loss from continuing operations was $3.7 million in this quarter. Silicon gas sales still remain relatively range bound, although some segments are now starting to exhibit recovery. We closed on $20 million in loans in Q4 and additional subsequent financial events in '26, such as extension of $110 million short-term loan, additional $10 million loan in January. And earlier this week, a proposed fully underwritten rights issue to raise the NOK equivalent of $100 million in new equity. Gas shipments were higher than in Q3. However, shipments still remain in the 500 to 600 range that we have been in for the past 6 quarters or so. Unfortunately, the same conditions have persisted for the past 1.5 years. Regional shifts in demand on some of our standard products, combined with oversupply in some of those markets. Additionally, pushouts of new end market capacity and cancellations of some projects. Our increase in revenues in Q3 primarily driven by volume increases in gases and our mix effects coming from an ASP increase attributable to a higher amount of our higher-value products and higher-value markets that we sell into. The highest -- this resulted in the highest EBITDA contribution of 2025 and the higher contribution than was in Q3 of '25. We ended the year with a cash balance of $7.3 million, and we borrowed $20 million in the Q4 period. In addition to that, we have an annual payment for our Grant County property tax note. And as noted in the chart, interest was our largest outflow in the quarter. Nominal debt increased in the quarter. We still have a lot of maturities to deal with this year. However, we have already extended some subsequent to quarter end and hope to retire some as well. The past 15 months have presented a rapidly changing market environment due to a number of factors. However, we continue to focus on minimizing our cost of optionality at Moses Lake and efforts around high-grading our portfolio in Butte that seem to begin moving in the correct direction. Even though we have been range bound in terms of our volumes, we've been fighting hard to defend our market share as well as try to win new volumes at new facilities. We are engaged in a number of efforts now to win qualifications and eventually business at new facilities as they come online. However, I want to note that this has proven to be not necessarily predictable as to when these facilities do come online and the degree to which they ramp up. Right now, financially, our priority is on funding our ongoing operations. I want to note that we will continue to require additional financing and support, particularly from our major shareholder. As part of this, as I had noted earlier and as we had announced earlier in the week, the Board of Directors has proposed a fully underwritten rights issue to raise the NOK equivalent of $100 million in new equity. And as I had mentioned earlier in the presentation, we continue to have additional discussions in order to deal with extensions, potential extensions or restructuring of our term loans that come due in this year. Management and the Board have conducted a thorough review of our financing alternatives and concluded in the absence of additional debt financing, which is not available to the company at present, a rights issue is the best alternative for REC Silicon. Fully underwritten rights issue to raise NOK equivalent of $100 million. The proceeds are to be used as outlined in our announcement and in this slide, and it is subject to approval by the EGM. Compared to other alternatives such as a private placement, a rights issue protects the rights of minority shareholders. They have full right to participate in the transaction. A request for investigation pursuant to Section 525 of the Public Limited Companies Act was received by the Asker and B�Rum District Court. A response by the company is due to the court by February 12. In the U.S. process, we continue to comply with anything that is required of us. Our current environment is marked by certain lack of visibility in some of our segments and channels as a result of shifts in demand caused by geopolitical concerns as well as shifts in oversupply, again, caused by imbalances in certain markets and the movement of some of those consuming segments from one market into another. This has created imbalances in terms of the entire value chains kind of inventories. And as such, they need to clear in some areas and in other areas, we still see oversupply that exists there. There is a marked signs of some market recovery in some segments as noted by our continuing increase in our higher-grade products. However, as a whole, particularly in the semiconductor market, we do not see a broad market recovery, particularly in the auto segments. And PV continues to be highly regional driven with -- at current relatively lower utilization. We've completed our latest adjustments to staffing levels, particularly as a result of our announced -- our previously announced restructuring and optimization in our PV facility. For Q1 of '26, our silicon gases shipment target is again in the same range that we have been noting recently. As I mentioned before, and as announced earlier this week, the Board of Directors has proposed a fully underwritten rights issue to raise a NOK equivalent of $100 million in new equity, and we are continuing additional financing discussions, study of more comprehensive restructuring of our loans that are maturing in 2026. Thank you. Our next release presentation will be on May 7 to cover Q1 of 2026. With that, we'll open for some questions.
Unknown Executive: Okay. So moving on to submitted questions. Can you go into detail on what type of activities are ongoing in Moses Lake and what is the reason for the negative cash coming out of Moses Lake.
Kurt Levens: The negative cash coming out of Moses Lake, approximately $3.9 million in the quarter is required for us to sustain safe and reliable operations. So Moses Lake has been put into a status where we will be able to recover it for operations when the time comes. Of course, that will mean a lot more activity than what it is now, and it will include more cost to put it back into full operation and to staff it up and ramp it up. But that is essentially the cost of our optionality. We have labor costs included in that. There are costs of inputs still because we still have energy that we need to have in the system as well as costs related to other contracts in place for inputs. So those are going to stay. We're working on making sure that we can optimize them as much as possible and continue to find ways of incremental adjustments to reduce the cost of that optionality, but they will be there every quarter.
Unknown Executive: Is the rights issue the only financing solution or what alternatives have been considered?
Kurt Levens: The company has assessed a variety of financing solutions. I mean, based on this assessment, the Board concluded that a rights issue with full underwriting was the only executable financing solution that could be implemented within the necessary time frame that preserve equal treatment of shareholders and that would stabilize the company's financial position for this time.
Unknown Executive: If Anchor/Hanwha increases its ownership as a result of the rights issue, does the Board expect the mandatory offer to be triggered?
Kurt Levens: I can't speak for the Board, but I would say that management has no understanding of whether that will be the case or not or what Hemlock intends to do after the completion of this rights issue.
Unknown Executive: Can you go into detail on the recent information that has come out of the Norwegian court?
Kurt Levens: Only that we are complying with what was asked for us to do. As I noted in that slide, we have a response due on the 12th of February.
Unknown Executive: And following the rights issue, will REC be fully funded for 2026?
Kurt Levens: Look, REC Silicon does not have sufficient available cash to meet our debt service and other anticipated operating cash flow requirements. Going forward, without the continued support of our major shareholder, Hemlock or additional sources of capital.
Unknown Executive: That concludes all the questions that have been submitted.
Kurt Levens: Okay. Thank you, and we will see you in May or talk with you in May.